Operator: Greetings and welcome to the Diana Shipping Inc. Second Quarter 2014 Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation (Operator Instructions). As a reminder, this conference is being recorded. It is now my pleasure to introduce your host Ed Nebb, IR Advisor for Diana Shipping. Thank you sir, you may begin.
Edward Nebb: Thanks Christine, and thanks to all of you who joined us for the Diana Shipping Inc. second quarter conference call. The members of the management team who are with us today are Mr. Simeon Palios, Chairman and Chief Executive Officer; Mr. Anastasios Margaronis, President; Mr. Andreas Michalopoulos, Chief Financial Officer; Mr. Ioannis Zafirakis, Chief Operating Officer and Secretary; and Ms. Maria Dede, Chief Accounting Officer. Before management begins their remarks, let me remind you of the Safe Harbor notice. Certain statements made during the conference call, which are not statements of fact, are forward-looking and beliefs as to future events that may not prove to be accurate. For a description of the risks, uncertainties and other factors that may cause future results to differ from what is expressed or forecast in the forward-looking statements, please refer to the company's filings with the Securities and Exchange Commission. And now with that, let me turn the call over to Mr. Simeon Palios, Chairman and Chief Executive Officer
Simeon P. Palios: Thank you, Ed. Good morning and thank you for joining us today. During 2014 second quarter Diana Shipping, Inc. continued to take advantage of opportunities to expand its fleet, while maintaining a solid balance sheet with the financial resources to support growth and enhance shareholder value. Yesterday, we announced an initiative to protect the employee, a portion of those financial resources by agreeing to purchase shares of common stock of Diana Containerships Inc valued at US$40 million. Currently, with this investment to an affiliated institutional investors together such as US$40 million of common shares while I and member of my family and members of Diana Containerships Senior Management purchase an aggregate of US$12 million of common shares. The total investment in Diana Containerships by this parties combined was approximately US$92 million. The transaction is subject to customary closing conditions and it's expected to close to date. The Board of Directors and management of Diana Shipping are excited by this opportunity, which reflects our support for the long-term perspective of Diana Containerships and power optimistic about the containership market. Turning now to our investment in the growth of Diana Shipping. During the second quarter, we agree to acquire new-building Capesize dry bulk vessels, Hull No. BC18.0-50, for a purchase price of US$58 million. The vessel will be named G. P. Zafirakis and is expected to be delivered by mid-August 2014. The vessel was recently charter to RWE Supply & Trading at a gross charter rate of US$25,250 per day, for a period of minimum 18 months to maximum 22 months. In May, we took delivery of the newly built motor vessel at Atalandi an ice class Panamax dry bulk vessel that was contracted in March 2012. The company entered into a time charter contract with Glencore Grain for m/v Atalandi at a gross charter rate of US$13,500 per day, for a period of minimum 11 months to maximum 14 months. As a result of our fleet expansion activities we have an increasingly diverse and modern fleet. As of this date this fleet consists of 38 dry bulk vessels, 2 Newcastlemax, 10 Capesize, 3 Post-Panamax, 3 Kamsarmax and 20 Panamax. We also have G. P. Zafirakis to be delivered in the near future as well as two new building Newcastlemax dry bulk vessels and 1 Kamsarmax vessel in order were delivery expected during the second quarter of 2016. We continue to manage the fleet in a prudent manner designed to promote a balance of time charter maturities and produce a predictable revenue stream. Currently, our feature revenue days are 85% for 2014 and 27% for 2015. Now let me review our financial results, time charter revenues total US$43.2 million for the second quarter of 2014. The company reported the net loss of US$5.7 million and net loss available to common of US$7.2 million for the period. Our balance sheet continues to be a source of strength, stability and support for our long-term goals, as I have noted. Long-term debt, including current portion and net of deferred financial fees was US$455.8 million, compared to stockholders equity of over US$1.3 billion. Looking ahead, Diana Shipping will continue to pursue our strategy to strengthen and maintain our financial flexibility, while taking advantage of opportunities to expand our fleet. With that, I will now turn the call over to our President, Stacey Margaronis, for a perspective on the industry conditions. So he will then be followed by our Chief Financial Officer, Andreas Michalopoulos, who will provide a financial overview. Thank you.
Anastasios C. Margaronis: Thank you. Simeon. And a warm welcome to all the participants of this second quarter conference call. The markets have certainly surprised a large number of analysts by behave in the way that we had unfortunately foreseen and mentioned in several meetings, over the last quarter with analysts and investors. And we have expressed also during our earlier conference call. At the beginning of the year, The Baltic Grains had stood at 2,113 and closed yet to be a near 743. The Baltic Cape Index started the year at 3,733 and closed the yesterday at 1,187. The Baltic Panamax Index was 1,780 on January 2, and closed yesterday at 616. The overhang from the huge number of new buildings delivered during the last three years or so, and the small easing in the anticipated growth rate of demand has resulted in the present weakness in earnings of large bulk areas. Other factors have also contributed to this event and we will attempt to identify the globe. An example by RS Platou who mentioned recently in post Indonesian bank of mineral exports another factor lower by about 15% exports of grains and soybeans from South America. The third factor lower imports of coal to China, particularly coking coal. And finally, lower congestion, which will be consequence of reduced growth in seaborne trade. According to RS Platou average Capesize daily spot rates during 2013, came in at just US$7,700 a day, while so far this year, they were US$15,800 a day. For Panamax’s the equivalent rates were at US$7,400 a day and US$8,500 a day respectively. Let’s turn to CV now according to currently world crude sea production reached 682 million tons in the first five months of this year up by 3.6% year-on-year, production over this period was up by 4.9% in China, by 5% in the European Union and by 0.7% in the United States. China’s official manufacturing TMI in June came to 51% up from 50.8% in May. It is the fourth consecutive month of the TMI registered improvement in China. According to figures released by the World Steel Association global steel use will increase by 3.1% to 1.527 billion metric ton with year and by further 3.3% in 2015 to reach 1.576 billion metric tons. Apparent steel use in China is expected to slow to 3% growth this year and 2.7% in 2015 after growing by 6.1% in 2013. The opposite is expected to happen in the United States while growth in steel use of 4% is expected for this year and as further growth of 3.7% next year to reach 99.4 million metric tons after contracting by 0.6% in 2013. Similar growth figures are expected to be seen in the European Union where consumption is expected to reach 143.3 million metric tons this year, with the similar increase in 2015. According to Clarkson’s the first four months of 2014, Chinese steel output growth slowed to 5% year-on-year compared to 9% year-on-year growth in full year 2013. The slowdown has continued as the government aims to track down on over capacity and pollution in the steel industry an encouraging time here according to Commodore Research is that stockpiles in China have declined for 15 trade weeks and 21% lower on year-on-year basis. Iron ore now, total world iron ore imports are expected by Clarkson’s to reach 1.307 billion metric tons this year, which is materializes would represent an increase of 10% compared to 2013. Total Chinese iron ore import in the first five months of 2014, which 382.8 million metric tons reflecting a year-on-year increase of 19%. Import demand in China this year has been driven by the scheduled ramp up of Australian iron ore output. According to Gibson, Chinese iron ore prices are finding it increasingly difficult to purchase iron ore. The potential for a default in a number of financing deals has led banks to stay back on trade loans. China’s banking regulation as urged more checks iron ore financing deals, an attempt to cut the default risks. Just to point out has the potential to remove many iron ore traders from the market during 2014 and beyond. We point out that assuming this additional volume of iron ore shipped which will require approximately an additional 250 shipments from Brazil and Australia. We believe that the next few months will bring more iron ore being produced globally and the third in iron ore fixtures is very likely to occur in the near future. We the value that these iron ore miners globally sell all this additional iron ore, the price of this commodity might collapse with several undesirable side effects for commodity traders and shippers, who have borrowed money to purchase and sell much more expensive iron ore. This is not to mention a large number of mines which will become uneconomical and may have to close, especially in China. Let’s turn now iron ore ports. According to Commodore Research the $102.6 million metric tons of iron ore were stockpiles at the end of June in Chinese ports. Stockpiles remain at near record level, and are above 39% higher than the same time last year. For reasons mentioned in this report, Chinese high iron ore stockpiles are not restricting Chinese iron ore imports. Firm import growth and slower sea production growth so far this year have resulted in larger iron ore stockpiles of Chinese Ports which importantly reached the record high at the beginning of June 2014. It is possible that seamen may purchase iron ore from these port stocks but rather than iron ore which could make some pressure on Chinese import demand. However, up to now and according to Chinese buyers are insisting on expense inventories and have been buying cheaper for iron ore from Australia as mentioned earlier. We have been selling this to steel mill and leaving the inventory in place that’s allowing port stocks to remain suddenly high. Official statistics came today as we found. Coking coal now, world’s coking coal imports will according to Clarkson reached 275 million metrics ton this year which will be higher by 4% compared to last year. In the first four months of 2014 seaborne imports by China dropped 24% on a year-on-year basis. However, steel mills have been restocking since April and if this continues Chinese stocking volume for demand could drive in coming months, provided the freight differential between import and domestic coal remain favorable for imports. Turning to steam coal now, world steam coal import has according to Clarkson reached 961 million metric tons thus far which represent 5% increase from compared to 2013 according to Clarkson’s event during the first four months of this year steam coal imports have reached 12% compared to last year reaching 77 million metric tons. According to Commodore Research, Indian steam coal stockpiles have been dropping steadily this year and standard to near 12.2 million metric tons. Going forward we anticipate search in Indian Thermal Coal import and as soon as India’s government will be prepared to avoid severe blackout similar to goals which occurred in July 2012, should support demand for Panamax over this quarter and next. Turning to Grains, according to Clarkson, the 2014, 2015 grain field should see about 289 million metric tons of grain products in worldwide basis. This will represent a 3% decline compared to the 2013, 2014 fleet. Global soybeans grain has grown firmly in recent years and according to Clarkson has registered a compound average growth rate of 6% in 2007 to reach 103 million metric tons in 2013. Soybean trade is expected to reach 111 million metric tons in 2014, mainly on the back of strong anticipated Chinese soybean name port which accounted for around 60% of global soybean trade in 2013. Arise in crushing capacity and lack of subsidies for soybean production in China support a positive outlook for soybean trade in the long-term. According to Banchero Costa, in January through May of this year, China imported 27.8 million tons of soybean which is 18.7% more than in the same period last year, during which China imported 63 million tons in 12 months. According to Howe Robinson, during the same five months period, China’s grain imports increased by 40% over the same period last year. However, these are strong shipments figures that have with link back on the freight market has dramatically reviews from just in the grain port has help to neutralize the potential impact of increased cargo movement. Turning to the newbuilding order books now, according to the latest figures produced by Clarkson, the bulk carrier order books stood at the end of May this year at 164.4 million metric tons, which represented 22% of the existing peak. With a total there are orders for 191 million metric tons of Panamax representing 18% of the existing fleet and 299.2 million metric tons of Capes, representing 23% of the trade increase. To the exception of the Panamax order book, the rest of the size factors have witness increases in the order book over the last few months. This has been the result of new interest and newbuilding contracting, witnessed last year and early this year. Annualized demolition could be about 16.8 million deadweight tons, 25% lower than last year. Net annual fleet growth on these assumptions will be 5.8%. Slippage will probably bring this down to 5%. Capesize delivery for according to Commodore Research is expected to slow down this year, 65 ships were delivered during the first half of 2014 and around 45 ships are expected to be delivered until the end of the year. Turning to supply and demand, the Panamax supply is expected according Stanley research to grow by 8.7% this year and a further 7.1% in 2015. The corresponding figures capes are much more manageable and are predicted to be 2.2% this year and 3.9% in 2015. Overall bulk carrier fleet capacity and supply and dry-bulk trade demand, are expected by Clarksons to grow at the similar pace in 2014 at 4.9% and 4.5% respectively. According to Banchero Costa, demolition volumes which last year declined by 35% year-on-year in deadweight ton, are down even further this year. In the first five months of 2014 demolition sales totaled 6.8 million deadweight tons which were 37% down over the same period last year. According to Banchero Costa, demolition volumes which last year declined by 35% year-on-year in deadweight ton, are down even further this year. In the first five months of 2014 demolition sales totaled 6.8 million deadweight tons which were 37% down over the same period last year. Unfortunately, this year, demand growth has been lower, thus far and most observers had anticipated. The recovery across the OECD Nations has not sold everywhere that is not as smooth as analysts have hoped to see. The dry cargo markets are still observing excess supply where possible through slow steaming, but other supply and management techniques such as lay-up may have to apply if the industry cannot summon the discipline to keep fleet growth in line with or even below cargo growth levels. Unfortunately, the industry has failed this mélanges we expect thus far and the results will be even more large bulk carriers addition to an already modern fleet over the next two years or so. We have mentioned on numerous conference calls. We at Diana Shipping plan to continue investing in modernization channels, through the downcyside, without allowing management’s views on the specific timing of the recovery to assess the company’s investment strategy. To a conservative borrowing policy as the prevailing market values, we feel comfortable that expansion comes result of using integrity and strength of the company’s balance sheet, which we have worked hard to process hand in hand. I will now pass the call to our CFO, Andreas Michalopoulos, who will present the financial highlights of the second quarter and first half of this year.
Andreas Michalopoulos: Thank you, Stacey and good morning. I’m pleased to be discussing today with you Diana’s operational results for the second quarter and six months ended June 30, 2014. For the second quarter of 2014, net loss amounted to $5.7 million, net loss to common stock holders amounted to $7.2 million and the loss per share was $0.09. Time charter revenues increased to $43.2 million, compared to $40.0 million in the second quarter of 2015. The increase was attributable to the revenues derived from the vessels Baltimore delivered in June 13, Artemis delivered in August 13 and Myrsini delivered in October 2013, PS Palios delivered in December 2013, Crystalia delivered in February 2014 and Atalandi delivered in May 2014. This increase was partially offset by decreased revenues due to the decreased in average time charter rate that we achieved through our vessel during the quarter, compared with the same quarter of 2013. Ownership days were 3,417 for the second quarter of 2014, compared to 2,130 in the same period of 2013. Fleet utilization was 99.8%, compared to 99.2% for the same quarter of 2013, and a daily time charter equivalent rate was $12,107 compared to $12,939 in the same quarter of 2013. Voyage expenses were $2.2 million for the quarter, vessel operating expenses amounted to $21.9 million, compared to $19.6 million in the second quarter of 2013, an increased by 12%. The increase was attributable to the 17% increase in ownership days, resulting from the enlargement of the fleet and was partially offset by decreased instruments and other operating expenses. Despite the increase in total operating expenses, daily operating expenses decreased, mainly due to decreased insurances, taxes and other operating expenses. Vessel operating expenses were $6,419 for the second quarter 2014, compared to $6,679 in the same quarter 2013, representing a decrease of 4%. Depreciation and amortization of the deferred charges amounted to $17.3 million. General and administrative expenses increased to $6.3 million, compared to $5.5 million in the second quarter of 2013. The increase was mainly attributable to increased number of employees and salaries. Interest and finance costs were $2.1 million for the quarter, compared to $2 million in the same quarter of 2013. This increase is mainly attributable to increased average debt and average interest rate in the second quarter of 2014, compared to the same quarter of 2013. The interest and other income amounted $2.9 million, compared to $0.2 million in the same quarter of 2013. The increase was due to interest income and finance fees, deriving from our loan agreement with Diana Containerships. Loss of investment in Diana Containerships income amounted to $2.1 million, this compared to a loss of $0.6 million in 2013. For the six months ended June 30 2014, now, net loss to Diana Shipping income amounted to $11.8 million, net loss to common stockholders, amounted to $14 million and loss per share was at $0.17. Time charter revenues increased to $84.3 million compared to $82.6 million for 2013. The increase was attributable to the enlargement of the fleet, and was partly offset by decreased average time charter rates. Ownership days were 6,697, compared to 5,736 for 2013. Fleet utilization of 99.3%, compared to 99% for 2013. And the daily time charter equivalent rate was $11,966, compared to $13,653 for 2013. Voyage expenses were $4.6 million for 2014. Vessel operating expenses amounted to $42.6 million, compared to $37.5 million for 2013, an increase by 14%. The increase was attributable to the 17% increase on ownership days, resulting from the enlargement of the fleet. And it was partly offset by decreased insurance costs. Despite the increase in total operation expenses, daily operating expenses decreased mainly due to decreased average coupons, insurances and other operating expenses. This decrease was partly offset by increased stores, sales, repairs and maintenance, and environmental costs. Daily operating expenses were $6,360 for the third part of compared to $6542 for the same period of 2013 representing a 3% decrease. Depreciation and amortization of deferred charges amounted to $34.2 million in 2014. General and administrative expenses amounted to $12.5 million compared to $10.9 million in 2015. The increase was mainly attributable to increase number of personnel, salaries and employees retirement. Interest and finance costs amounted to $4.1 million was same as in 2015. During the six months ended June 30, 2014, interest expense is decreased compared to the same period in 2013 due to increased capitalized interest costs that this decrease was offset by increased interest rates and average debt. Interest and other income amounted to $1.8 million compared to $0.04 million in 2013 the increase was due to interest income and finance fee driving from a loan agreement with Diana Containerships Inc. offset the slight decrease interest income due to the reduction of our average CapEx. Loss from investments in Diana Containerships Inc amounted to $0.01 million which compared to a loss of $3.7 million in 2015. Thank you for your attentions. We would be please to respond to your questions and I will turn the call to the operator who will instruct you as to the procedure for asking questions. Thanks.
Operator: (Operator Instructions) Thank you. Our first question comes from the line of Fotis Giannakoulis with Morgan Stanley. Please proceed with your question.
Fotis Giannakoulis – Morgan Stanley: Yes. Good morning and thank you. I want to ask about the weakness of the current market, this is something that you have a clearly warn this about and you seem to be very well prepared. Can you explain to us, what has driven this weakness, why the market is weaker than a year ago, despite the declining fleet supplies? Is there any particular trade that has been deteriorated significantly is it a coal trade or the iron ore space and what is the difference compared to the second half of 2013?
Anastasios C. Margaronis: We mentioned earlier on Fotis. This is Stacey here. Four reasons and we’ll add to that’s the overhang of modern tonnage as a strict reason. So I will remind you the first reason we’ve said that the reasons we imposed Indonesian the ban on mineral exports. With lower exports of grains and soybeans on South America, which were nice long voyages, reduction by 15%. The lower imports of coal, particularly coking coal, in China, 24% on a year-by-year basis and lower congestion, which comes when we have reduced growth in seaborne trade. So that together with the overhang of many modern ships, large modern ships in the market, major markets weak and that’s something that we could see. And we warned that it was a rich trade for the freight market, we were hoping that demand would behave better eventually and even better than anticipated, because that would be the only possibility that we could see for the market to be able to withstand the pressures that were placed on it since about February, March this year.
Ioannis G. Zafirakis:
Fotis Giannakoulis – Morgan Stanley: Thank you Ioannis.
Ioannis G. Zafirakis: Welcome.
Fotis Giannakoulis – Morgan Stanley: Thank you, Stacey. I heard that obviously this decline has priced us all, but I heard earlier that if you are continuing your investment plan as scheduled looking more on the longer prospects, you also mentioned that the discipline of the industry is not there, and there still plenty of orders for the next couple of years. Are there any risks – are you afraid of any secular there dry-bulk market that could potentially prevent you from expanding even further?
Ioannis G. Zafirakis: Bear in mind that it is since 2008, when we had this abnormal increase in freight rates and since then we have not seen any real deterioration in the market. It has been lower since 2008, but it has not been low enough for the six to lay up. And have the range equal to Iran expenses of vessels to bring the potential buyers away from ordering new ships. So we have to face this today and that’s what we are doing. We have a lot of ships in the water, but also we have a lot of ships in the shipyards coming in the next two years. So unless the market deteriorates, we are not growing to see a better market. Now with regards to what you have asked, whether we are going to change our policy, no, we’re not. We’re going to carry on and we are going to expand the same way we have done a year ago or two years ago and as we have said in March 2005, when we have started the company. And that’s what we are doing.
Fotis Giannakoulis – Morgan Stanley: Thank you, Simeon. Can you please elaborate does this mean that there is a positive long-term outlook and you see how the belief, despite the near-term problems, the market at some point will become profitable?
Simeon P. Palios: Of course it will become profitable, the shipping market is the best market. Some of the industries in the world. And it’s going to return to earnings again, but it’s not going to be immediately, it will take some time. It perspective buyers who realize that the market you have to be very cautious in the market, of course, the banks are not going to follow what is happening in ordering. And then question whether the ordering book thud found the banks to support this ordering. And Stacey was mentioning about slippage, I predict a bit more slippage that will of course Stacey has said about 0.8%. I think it is going to be more than that, because there is no banks yet to lend money today. I think we have seen that before it’s not the first time we have seen lower markets, but when we talk about low market, we talk about low market. Since 2008, we never had a real bottom of the dry cargo market, we didn’t.
Fotis Giannakoulis – Morgan Stanley: Thank you, Simeon. You mentioned about layouts that they will need to take place to differ owner from ordering additional vessels and help the market to recover. Do you see this layout right now and there is also a big discrepancy between what we see as a portrayed, as a Baltic Index and some of the time charter fixtures which they show levels above the operating expenses. Can you explain to us this discrepancy, if they are opting this more as other reasons why the period rates are so much higher?
Simeon P. Palios: What you see in the long term employment, the time charter employment compared to the sport you seem to be has to do with optimism and psychology, and had to do also with weaker market. We have explained in the past that, the Braemar market is there to reflect the optimism or the pessimism in the market. And you have a charter that recharge the vessels and they take the opposite position in the pace of market without sharing whether the market is going to go up or down. So looking at the greater markets, because this is what you do, doesn’t mean that this is going to happen. After all many have made in the Braemar market or the Braemar market to be wrong. So that’s one part of the question about the difference between the Braemar market and the spot rate. And the other thing that talk about lying out, we have not seen something like this. And again it has to do with the psychology is not so bad, at the moment. We take to shape, but we were once again correct, in our way of thinking. And we have to insist and try to persuade you guys that looking at the three, without looking as ForEx you are missing the point. And the ForEx is saying that we have not seen a real black spot for the market to turn positive. We will be none of you are aware and the market will not turn if we don’t see really bad date.
Fotis Giannakoulis – Morgan Stanley: Thank you very much gentlemen. Appreciate your time.
Operator: Our next question comes from the line of Gregory Lewis with Credit Suisse. Please proceed with your question.
Gregory R. Lewis – Credit Suisse Securities (USA) LLC: Thank you and good afternoon gentlemen.
Simeon P. Palios: Hi, good morning.
Anastasios C. Margaronis: Hi, Greg.
Gregory R. Lewis – Credit Suisse Securities (USA) LLC: So as we think about, what best for values and your plans to continue to acquire tonnage. As we think about the market and they looks like asset prices have step down a little bit year over the last few weeks may be couple of months. Has that resulted in an increase in potential acquisition candidates or owners of this tonnage sort of pulling potential vessel sales of the market, as we’ve seen asset price has slowdown a little bit. Just, if you could sort of talk about the overall activity levels in the SMP market.
Simeon P. Palios: From the moment you have realized the fact that the values have certainty. Have been reflect also the other part of your question. The price and sales what you are asking about people wanting or not wanting to sell. To reply differently, there always people that they are willing to sell breakfast at market conditions at market price and this is what’s happening to date. They have not realized yet that was they are asking with higher than what they should have been asking because of what is going to happen in the future, but nevertheless we feel the market to date. And it is shorter than it used to be two months ago. And it’s going to get much softer than this.
Gregory R. Lewis – Credit Suisse Securities (USA) LLC: Okay, great. And then Stacey, I think in your preferred comments you talked a little bit about the 2010 order book. And you mentioned that I think it was 90% of those vessels have more eventually delivered. I guess the beyond two part question; one is, was that order book that 2010 order book, do you have any sense for whether that was adjusted for cancellations which just sort of raw in the order book and never materialized or does that include that and the reason that I am asking is that way is because you mentioned. Then later in the call we talked about, the overall order book where it stands today, has the potential for slip at your cancellations and just thinking about that. It would lead me to believe, we're not really going to see any cancellations.
Anastasios C. Margaronis: Well. The answer to your first question is that the – I have seen the tables prepared by analyst on the ship that were delivered which have been ordered in 2010. They have taken into account cancellation, so that the answer for the first question that you ask. Second as regards now the order book, the order book now is going to be to materialize in real ship. If as the Simeon, Andreas mentioned earlier, the owners that have place his orders manage to finance the pre-delivery payment take along the actual delivery payment of the ship, now this is something that we have no figures on yet, and I don’t think there are any reliable figures out there in order to be able to make the calculation as to what percentage of this order book is going to be cancelled due to a lack of finance. Now, I mean if it’s that going to be cancelled due to the sake of the market that is an another thing I believe there to cancellations will be much fewer it will be more like delays in delivery and we hope that the market will improve, but the cancellations are going to be connected with financing the order book. And that if the banking industry takes a rather negative view of the medium term future for shipping slightly high and we might see a considerable percentage of the order book being canceled and that unfortunately we cannot even get at this point in time.
Gregory R. Lewis – Credit Suisse Securities (USA) LLC: Only time will tell. Okay guys, thank you very much.
Simeon P. Palios: You’re welcome.
Operator: Our next question comes from the line of Keith Mori with Barclays. Please proceed with your question.
Keith S Mori – Barclays Capital Inc.: Hi. Good morning. Thanks for taking my question here. Just had one question first time here Andreas, I just want to talk a little bit about capital deployment here, I know you put in about $100 million over the past 12 months into the Diana Containerships through debt and equity. We will be thinking that the returns on the containerships side or equal to or potentially even better that you are seeing – than you are seeing on the dry bulk. And I know you talk a lot about in the call how the markets is going to continue to get soft in the dry bulk side. So should we think that maybe that incremental capital for containerships is a better opportunity than the shares or the dry bulk market? Just want to get your view on prioritizing.
Ioannis G. Zafirakis: Well. This is Ioannis, Keith, certainly there is an element of truth to what you’re saying we depend on both of directors addition of the management found the potential of investing today as we speak in the containerships sector, as there are more or if attractive opportunities as regards the potential return. Also you have to see from while supporting and averaging down, already our existing investment in Diana Containers, but nevertheless if you have heard the management talking about the two different titles we are more positive as regard to the fundamentals on the Containerships sector and especially the medium size vessels there.
Keith S Mori – Barclays Capital Inc.: Okay. Well. Thanks for the time gentlemen. I’ll pass on, lost my questions are already answered.
Anastasios C. Margaronis: You’re welcome. Thank you.
Operator: Our next question comes from the line John Chappell with Evercore. Please proceed with your questions.
Jonathan Chappell – Evercore Partners Inc.: Thank you, good afternoon guys. I want to follow-up on the containership investment. I think about six months ago we had a conversation and there is some talk about Diana Shipping’s intention to less than their exposure to the containership to DCIX. So really think the change here and you’ve spoken about the differences in the market. But as we think about going forward, what your intention to potentially build your stake in DSX going forward given the different returns of our business. And given how the solid as really from a capital market’s perspective. Any intentions to get to a point where you’re a majority owner again with great little capital deployment there?
Simeon P. Palios: It is true that in the long-term we want to be two complete separate companies. Diana Shipping Inc. participates in Diana Containerships at the moment as an investment. And as we’ve said in the past, the main pesos of the advertises to have two non-diversified companies in the capital market. Nevertheless, the market conditions are such that the price of the stock of Diana Containerships we’ve found it to be so attractively priced for our shareholders of Diana Shipping Inc. to invest that and produce nice returns and also support our existing position there. Eventually, in the long term Diana Shipping Inc. will decrease its position in Diana Containers. Now based on what is going to happen, we cannot tell you what may happen they tell on and need Diana Shipping Inc is going to take a majority position in Diana Containers, but the intention is as we have always said you have two non-diversified companies each one of the companies investing in a particular sector, but the market conditions have such that we strongly feel that this is a very good investment opportunity of Diana Shipping Inc in a sector that we like and in a company that we like.
Jonathan Chappell – Evercore Partners Inc.: Okay. Can you just update us with pro forma ownership about yesterday’s transaction?
Simeon P. Palios: It’s going to be around 26.3%.
Jonathan Chappell – Evercore Partners Inc.: 26.3%. Okay. And then just one more giving your outlook on the dry bulk margin and you guys has absolutely nail back, but also Stacey’s last comment about continuing to invest in modern efficient tonnage, if you have take that as 2001 bill that will have survey in a year and a half time, how do you think about potentially disposing the 2011 tonnage as you continue to expand and then also potentially modernized as you believe. 
Simeon P. Palios: I don’t think it’s the right time to disclose any vessels, but when the market changes, definitely we first want to go with the all this years.
Edward Nebb: Upon both vessels that have invested with the useful life that are going to be there in the next after part of the cycle and this is when those are going to be sold. We have paid for this optional value on the vessels when we purchase them and it is sufficient for the next to be filled with us that have to be sold as a next half part of the cycle.
Jonathan Chappell – Evercore Partners Inc.: Understand. All right. Thank you, Ioannis. Thanks Simeon.
Operator: It appears we have no further questions at this time. I would now like to turn the floor back over to management for closing comments.
Edward Nebb: Thank you again for your interest in and support of Diana Shipping. We look forward to speaking with you in the next quarter. Thank you.
Operator: Ladies and gentlemen, this does conclude today’s teleconference. You may disconnect your lines at this time. Thank you for your participation, and have a wonderful day.